Operator: Good day, and thank you for standing by, and welcome to the Atos First Half 2021 Results Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Elie Girard, Atos' CEO. Please go ahead.
Elie Girard: Thank you very much, and good morning, everyone. Thank you for being with us this morning for our conference call on the H1 2021 results. I would start with the conclusion on the North America accounting review, then dive into the H1 highlights. Uwe will go through the financial performance of the first semester and on several bridges supporting our midterm targets and the main drivers for revenue, operating margin and free cash flow. I will then update you on what is at the center of my job today, the group transformation and how we are accelerating it. I would like to start on Page 4 by the main achievements of the last semester. I will come back with more details on each of them all along this presentation. First, we have finalized the full accounting review decided by the group in North America. All other achievements here are related to the deep and fast transformation we have launched. Starting with organic actions, we have completed the third and last wave of Spring with the implementation of our practices supporting the vertical industries. Then as part of the necessary optimization of our classic infrastructure activities, we have found an agreement with our social partners in Germany to implement a vast turnaround plan. Equally importantly, we have completed our strategic portfolio review and made decisions with the Board of Directors that I will develop in a moment. The execution of those decisions will be an important step to support our midterm targets. In parallel, we pursue our program of bolt-on acquisitions with 3 more announced today in very strategic areas. Finally, as announced in April and to ensure the success of all other transformation actions we have engaged into, we launched in May a cultural change program called Leap all across the group. Let's start with North America on Page 6. As you remember, the group implemented a specific accounting review on the 2 legal entities where auditors issued a qualification in April. A very thorough work has been provided by the teams in North America and at group level supported by external advisers and in cooperation with the auditors. This work, which is now completed and which has been reviewed by the auditors as part of the half year procedures, did not reveal any material misstatement for the group consolidated financial statements. Moreover, further to their usual half year limited review, auditors are in the process to issue an unqualified report. Now going forward, North America renewed management team as well as global management, of course, are entirely focused on transforming our business towards our midterm plan. On the next page, in order to avoid absolutely that anything like what happened in North America happens again, the group has immediately set up very strong and comprehensive actions to remediate internal control weaknesses in North America and to prevent from them in all geographies. To design and set up the plan, we were assisted by external advisers, including a U.S. legal firm. The main actions in the plan cover the reinforcement of the organization on both accounting and finance with a relevant internal controls, mandatory trainings within both finance and operations as well as specific HR actions to ensure the right people are in the right place. Remediation and prevention actions will continue to be implemented as a rolling process, and I can tell you, awareness and caution on all those matters are very high throughout the group. Let's now move to the H1 key figures. Revenue decreased by minus 1% at constant currency and minus 2.7% organically in the first semester. In the second quarter, the revenue came back to stability at constant currency, and organic evolution was minus 1.5%. As we explained on July 12, classic activities were impacted by the acceleration of the customers' migration to cloud in the post-COVID surge impacting the group performance. Our Unified Communications & Collaboration business has also weighted on our performance. On the opposite, the 4 key segments of the group, Digital, Cloud, Security & Decarbonization, benefited from the economic recovery and the migration to cloud. Commercial activity was solid in Q2 with a book-to-bill at 109%, with much less large contracts than in the past and many more medium to small contracts, also due to the transformation of the business already described. Total headcount was 105,000 at the end of June, slightly up compared to the end of last year. We're currently hiring at full speed to face demand in application and digital spaces and expect to increase more significantly our headcount in H2. Operating margin reached 5.6% of revenue. The shortage in revenue was recorded in classic infrastructure activities where we have a low short-term flexibility on cost. Free cash flow reached minus EUR 369 million, impacted by both a reduced operating margin and also circa EUR 200 million less contribution from advance payments from customers. Finally, normalized net income reached EUR 162 million, a decrease compared to last year, in line with the operating margin evolution. Normalized EPS was EUR 1.48. Moving now to nonfinancial key figures on the next slide. We made significant progress in H1 towards our net zero 2028 ambition. Indeed, for CO2 emissions under control, we have reduced our emissions from 14.9 to 10.6 tonnes per million of revenue. This resulted, in particular, from the implementation of green energy sourcing strategy for our data centers. For CO2 emissions under influence, we are shifting our spend towards suppliers with best-in-class environmental performance. With regards to our people, we accelerated our digital certification program in our key segments. And in H1, we have consolidated our 2020 leap towards a better gender balanced executive management. With regard to our customers, our Net Promoter Score slightly increased to 67%. This remains one of our most important KPIs, reflecting the quality of our customer relationships. Finally, we reinforced in H1 our strong focus on core innovation with our customers in order to give them better insight on our technology assets. We will accelerate on this critical dimension in H2. On the next slide, on the main wins of Q2, I can't comment them all, so let me select a few. In TMT, Atos will provide a next-generation global employee experience to EY. This is an important win, especially at a time when companies completely rethink the way of working of their employees. This engagement with EY will personalize and improve the experience for more than 300,000 people through a proactive experience center. In public sector, Atos was awarded a contract to be the agile development partner for a public tax authority covering 5 digital delivery centers across the country. The group will be responsible for all new development of existing systems across the estate. Still in public sector, Atos signed a very large contract with the Flemish government to be their main digital partner to transform Flanders into one of the most innovative regions in Europe. In Resources & Services, the group signed with a long-standing logistic leader, one of the major Syntel customers, an agile and cloud-native application development contract leveraging machine learning and artificial intelligence. Moving to the next slide, we try to summarize here the main impacts coming from the acceleration of cloud migration, post COVID, so that you can better understand the moving parts. Uwe will give you a sense on the numbers later on. In H1, the group faced severe headwinds on 2 legacy activities, classic data centers and classic unified communications, where the drop was respectively higher than what we experienced in the last years and larger than what we expected. To a lesser extent, classic application development is on a slightly decreasing trend, and private cloud has stabilized. On the opposite, the acceleration of cloud migration benefits to a certain number of activities, some on which the group is definitely skilled, very well positioned and will increase its exposure. First, the most complex migrations are yet to come. And as the future remains hybrid multi-cloud, the acceleration requires more cloud orchestration. Then Atos is positioned with very strong differentiators in booming segments like cloud security, edge and cloud compute. In the public cloud area and in cloud-native application development, our partnerships with hyperscalers are strengthening quickly, also thanks to acquisitions, and our growth in these areas is very substantial. Finally, with partner on cloud unified communications with companies such as, for instance, RingCentral or NICE in order to offer this migration to our customers. To conclude on this important slide, and as it was stated in Q1 results, the group conducted a strategic portfolio review, which led to decisions on classic data centers and unified communications on which I will come back later. On the next slide, I would like to concentrate on businesses which are growth engines for the group on top of cloud activities I've just described. I'll start with digital as we benefit from the strong demand from our customers' accelerating digital transformation post COVID. We are developing state-of-the-art vertical solutions also as a result of Spring transformation based on several partners, including SAP and Salesforce. Very importantly, we reinforced our digital certification program for our staff, which is a clear way to retain and also attract experts and talent and, of course, to transform our business. Security grew at plus 40% at constant currency, thanks to an expanding interest in our portfolio of offerings in a context where cyber attacks are becoming more and more sophisticated and can bring organizations to a standstill for days. Our decarbonization business line signed roughly EUR 50 million order entry in H1, which is consistent with the exit at circa EUR 100 million revenue run rate by the end of this year. This business is showing an impressive interest and demand from customers worldwide. All in all, what the 2 last slides show is that we are very successful in growing areas of the business, being either in line with the market or many times above the market. What we need now is to expand our related exposure to those areas. On the next slide, without going into all details, I would like to underline the very vivid tech activities of the group through a few examples. Tech, R&D, IP are and will always remain the DNA, the key differentiator of this group. In Q2, we launched Engaged Employee Experience, EEX, a unique initiative which reinforces Atos' position as a leading enabler in the new frontier of work. At our annual Atos Tech Days event, in line with our founding membership of GAIA-X, we announced the launch of a major initiative called Atos Digital Hub. It positions the group as a main player on the growing data economy, creating the next level of trusted ecosystem platforms for organizations within the same industry. We also developed new industry partnerships. If I had to retain only 1 this quarter, let me talk about our 5-year strategic global partnership with Huma to shift health care and clinical trials from hospital to home. Our investment in R&D will fast track the integration of the Huma platform already used in the U.S. and across Europe with other leading clinical platforms as well as develop a dedicated video module. Finally, I am happy to announce that Scaler, the Atos accelerator, now includes 20 start-ups. These start-ups complement Atos' industry-centric portfolio and boost its go-to-market, with a specific focus on decarbonization and digital security. I now hand over to Uwe, and I will come back for our transformation programs. Uwe?
Uwe Stelter: Thank you, Elie, and good morning to you. In this slide, you can see the main financial KPIs of the group summarized in the table. I'll give you more details in the next slides on each and every line. So moving to the next slide, I will go through the revenue and operating margin by industry. I start with Manufacturing, which reported a decrease of minus 2.6% in H1 but returned to growth in Q2. The industry performance was still impacted in Q1 by the challenging situation of some sectors due to COVID, particular in Central Europe. The margin increased by 340 basis points based on solving loss-making contracts and increased productivity. Financial Services & Insurance grew by 5.2%, driven by the ramp-up of some large contracts signed last year, and the operating margin reaching 8.6% was impacted by some revenue decrease in Banking Financial Services but also some new projects that require the use of specific subcontractor experts to secure delivery to customers. Public Sector & Defense decreased by minus 3.5%, mainly coming from volume reduction in North America. The high-performance computing activity slightly grew led by a new high-performance computing project in Italy in the EuroHPC program, compensating for our non-repeatable large deliveries in H1 2020 in Germany as well as in India. Operating margin was impacted by lower revenue combined with cost overruns in some fixed price contracts in Central Europe and North America. Telecom Media & Technology decreased by 1.7% in H1 and growing by 1.8% year-on-year in Q2. The contribution of a large contract with the technology company could not totally compensate the decline in the UCC, the Unified Communications & Collaboration business. Operating margin reached EUR 34 million, impacted by lower revenue and reduction of onetime positive settlement impact recorded in 2020. The revenue generated by Resource & Services decreased by 4.5% with an improvement in Q2 to minus 2.5%. The industry performance was impacted by volume reduction specifically in the utility sector. Cost-saving programs allowed to mitigate only part of the revenue decline for this industry. Healthcare & Life Sciences revenue increased by 1.9%. The industry grew in most geographies except North America, where the positive contribution of the ramp-up of some new contracts did not offset volume reduction in some customers. Operating margin was stable compared to last year. In the next slide, you can see the financial performance by region. The majority of the regions grew in the first semester of this year, benefiting from the economic recovery except North America and Central Europe. In North America, the positive contribution of the new acquisitions and the recent ramp-up of some large contracts in digital transformation, cloud and cybersecurity spaces could not offset volume reduction in legacy infrastructure in Public Sector & Defense and project delays from some customers. Central Europe was affected by cloud migration acceleration impacting legacy infrastructure and by a revenue decrease in the classic Unified Communication & Collaboration business. In addition, Manufacturing did not yet totally recover from the COVID impact. And in public sector, some large high-performance computing deals realized in 2020 could not be repeated this year. Operating margin reached EUR 302 million, representing 5.6% of group revenue, decreasing by 220 basis points compared to the first semester of 2020, impacted by the revenue decline in activities with a low short-term variability of the cost base. This affected the Regional Business Units having the most legacy infrastructure and to a lesser extent, Unified Communication & Collaboration. On the next slide, you can see the evolution of the group business mix in the past years and also how we expect it to move in the midterm. We think this gives a clear idea of the group activities and the associated trends. We grouped the activities in 3 buckets. In purple, classic infra business, which includes data center activities and hosting, Unified Communication & Collaboration, mainframe and network business. In blue, classic applications, including the Business Process Outsourcing, which mainly refers to non-cloud applications. And finally, in green, the 4 strategic segments of the group, which are Digital, Cloud, Security & Decarbonization. In 2018, the classic businesses were representing still 62% of group revenue and in 2020 are down to 54%. In that time frame, the Digital, Cloud, Security & Decarbo business grew by circa 10% CAGR, whereas classic infrastructure business declined by circa 11%. And the classic application and BPO business stayed roughly stable. This trend has changed in 2021 based on the accelerated move to cloud with an improved growth in the Digital, Cloud, Security & Decarbo area, growing from plus 10% to 12% to 15% and, at the same time, a faster decline of the classic infrastructure business from circa minus 11% CAGR to circa minus 20% in 2021. The classic application and BPO business is decreasing by 3% to 5% versus a flat development in the past. We expect that this trend will continue in all 3 segments into the midterm. From an organic perspective, the pipeline is clearly showing this with circa 70% of the opportunities in the areas of Cloud, Digital, Security & Decarbo. The bolt-on acquisitions are definitely supporting the change of the business mix. And to accelerate this transformation, as announced in April, we conducted a strategic portfolio review to accelerate the transformation, and hence, the potential of our assets. Elie will talk more about the outcome of this review in a few minutes, but I want to give you some color on what is our targeted business mix midterm after the implementation of the portfolio actions. This is visible on the right side of the graph. In the midterm, the green part, representing the 4 strategic areas, will represent more than 70% of the revenue after the execution of the strategy. Our previous communication was at 65%. Let's move to the next slide on the headcount development. The total headcount was around 105,000 people at the end of June 2021, slightly up versus the end of 2020. We hired more than 9,000 people in the first semester, the majority of them in offshore and nearshore countries. And we welcomed around 1,000 new colleagues from new acquisitions. Attrition reached 16.6% in the first half of the year coming back to pre-COVID levels, and the reduction of attrition and improved recruitment has very high focus in the company. Moving on to the next slide on income statement. The main items to highlight are the other operating expenses that increased from EUR 261 million last year, excluding the impact from the transaction on Worldline shares, to EUR 419 million this year in H1, meaning an increase of circa EUR 160 million, which, as already mentioned in the press release we issued on July 12, relates to the unexpected and accelerated move to cloud, which impacts the classic infrastructure business. Those EUR 160 million includes circa EUR 60 million write-offs of assets in North America and Northern Europe, circa EUR 40 million for loss provisions mainly in North America and circa EUR 30 million settlement with customers in Central Europe and in growing markets. On the next slide, you can see our cash flow statement. Free cash flow was minus EUR 369 million, EUR 200 million lower than last year the same period, affected mainly by a lower operating margin and an impact from our decision to reduce advance payments from customers by minus EUR 200 million, partly offset by a reduction of capital expenditures. In the next two slides, I will describe the drivers to reach our midterm target for operating margin and cash conversion. Let's start with the operating margin. Business mix is one of the main drivers to improve the operating margin rate, as the fast-growing strategic areas of the company carry also a higher margin. The business mix is separated into 2 impacts. First, the organic drive through Spring, which is showing results in the business won, plus the bolt-on acquisitions that are running already at higher margins than the group average. This will bring 100 to 150 additional basis points to group margin. Second, the impact coming from the portfolio management that Elie will detail later, and that will yield circa 1% improvement of profitability. Offshore is also a key driver for profitability improvement. We have an offshore ratio today in the mid-40s and will go above 60% midterm. The fourth driver is the German turnaround plan that will contribute circa 100 additional basis points to the group margin. The category others include real estate cost savings and, on top, effects which may come from midsized acquisitions. If we look on the next slide to cash flow. The main cash drivers to reach our midterm target of above 60% conversion of operating margin into cash are: first, the operating margin increase moving from 6% to 11% to 12% midterm; second, we are reducing restructuring, rationalization, integration costs and other expenses from above 3% this year, which includes EUR 180 million for the German turnaround plan, to below 1%. We expect the working capital to be roughly stable, reflecting the decrease in contract assets that will be offset by the effects of growth. Thank you for your attention, and back to you, Elie.
Elie Girard: Thank you, Uwe. So let's now move to all our transformation dimensions that I announced to you back in April. First, and as expressed earlier, I want North America to be at the forefront of our transformation of the re-profiling of the group towards growth areas. The first ingredient is to rebalance our presales efforts. In North America, we will increase between H1 and H2 our presales in the consulting, systems integration and applications by 20%. The second ingredient is, of course, to hire massively in the right business spots, with a plan to increase in H2 over H1 by 120% those hires while demand is there at the door. And third, of course, we must develop our people in the right areas through certifications. Cloud certifications will increase in H2 by more than 60%. Finally, North America is the first beneficiary of our inorganic moves. With 7 acquisitions out of a total of 18 done since January 2020, North America remains a priority area for external growth. In parallel, North America is also part of our strategic portfolio review, as I will explain later. Let's move to the next slide on the Germany turnaround plan, an important step for the transformation of our business in this country. Indeed, the objective is here to turn around loss-making and cash-negative areas in Germany on classic infrastructure business. We signed an agreement with the social partners on the infrastructure business for a restructuring plan starting already this month. This will increase operational efficiency and productivity across the organization. Circa 1,300 employees are in the scope of the agreement. Even if planned workforce reduction starts this year, main exits will happen in 2022 and in 2023. The cost required is circa EUR 180 million, with a mix of early retirement packages and redundancy costs. We assume this amount will be provisioned and cashed out fully this year. As part of the agreement signed is the freeze of collective salary increases until the end of 2023. As a result, the objective of the plan is a significant improvement of the operating margin in Germany, representing, at group level, plus 100 basis points operating margin impact midterm. Let's now move to a very important slide regarding the outcome of our portfolio review that I announced to you in April. We decided with the Board of Directors the following strategic moves to accelerate the re-profiling of the group towards Digital, Cloud, Security & Decarbonization. First, partnering on data center hosting and associated activities to enhance customer service while improving the utilization of our assets. Joining forces in a consolidating market will allow these activities to develop further technical expertise while conducting the required investments. Second, the transformation of Atos Unified Communications & Collaboration puts us in the position to find the right partner with strong software and telecommunication expertise. Combining technical and go-to-market capabilities will bring scale and investment that will allow our clients to accelerate their move to Unified Communications-as-a-Service and Contact Center as a Service. Third, partnering with best-in-class digital and specialized players on subscale activities to allow Atos to focus its efforts on its core markets. In total, the group decided to move forward fast on those tracks, representing a total scope of circa 20% of group revenue. At the same time, we continue our program of bolt-on acquisitions in our 4 growing segments with now a total of 18 acquisitions since beginning of last year for a total above EUR 400 million annual revenue. That is what you can see on the next slide. The 3 acquisitions we announced today are particularly strategic. First, Nimbix is a U.S.-based global leading HPC cloud platform provider. Nimbix offers cloud HPC, providing access to infrastructure and software to build compute, scale and roll out simulation and artificial intelligence applications. Second, IDEAL GRP is a product life cycle management system integrator and partner of Siemens Digital Industries Software based in Finland. IDEAL GRP offers consulting, integration and maintenance services in manufacturing and energy sectors. And third, Visual BI is a U.S.-based company, specialist of business intelligence and analytics in cloud environment and an Elite Snowflake partner. It's now a good place to re-explicit our M&A policy on the next slide. We have 2 axis. On the one hand, bolt-on acquisitions like the ones I have just talked about. We're talking here volumes of circa 2% of group revenue every year. On the other hand and on top of that, we talk at larger that I would qualify as midsized acquisitions, which will allow to accelerate the group transformation. And I would like to state clearly again here that these acquisitions will be performed in the 4 key segments, Digital, Cloud Security & Decarbonization. They will support our growth agenda and the achievement of our midterm targets. Last but not least, I also announced in April the launch of an internal cultural change program. Leap is the name of our cultural refresh. We have transformed our business and operating model, which is to be reflected in our culture to ensure we have true alignment. Our journey so far has taken us through 2 phases. First, an insight review, which led to 6 foundations to look into and became the basis of Leap program. Second, we have taken a crowd sourcing approach to deep diving those foundations, including 100 senior leaders and all management members. To conclude on the last page, let me remind you the adjusted objectives for this year. Revenue growth at constant currency, stable after H1 at minus 1%; operating margin at circa 6% after H1 at 5.6%; positive free cash flow after H1 at minus EUR 369 million. This assumes that we will have cashed out within the year the entire amount of German turnaround plan for EUR 180 million. All financial KPIs will improve next year. And as a reminder, all our midterm targets are confirmed, thanks to the transformation engaged. Thank you very much for your attention, and we will now take your questions.
Operator: [Operator Instructions]. Your first question comes from the line of Amit Harchandani from Citi.
Amit Harchandani: Amit Harchandani from Citi. Two questions, if I may. My first question is broadly around the turnaround plan in Germany. Could you give us a sense for these 1,300 that you're potentially looking to restructure? What businesses were they supporting? What's the kind of revenue trajectory you expect in Germany? If the charges are being taken fully in cash this year, should we already expect a margin improvement starting next year? If you could give us some more color around the dynamics on what's happening in Germany. And secondly, if I may, with regards to the strategic review, you've talked about 20% of sales being in scope. Could you give us a sense for the margin profile there? Would you be open to disposals? How easy would it be to find partners for this kind -- these kind of businesses?
Elie Girard: Uwe will take the first question. I'll take the second. Amit, thank you.
Uwe Stelter: Amit, yes, to your first question, so yes, we are taking the charges upfront, but the implementation of the program will be over the next 18 to 24 months. But you can expect, of course, the first savings, as we said, will start already now, the first savings to start coming in 2022.
Elie Girard: On your second question, portfolio, just to give you a very broad sense of profitability. If we talk about unified communications, the profitability is roughly in line with the group's profitability. If we talk about the data center hosting, we're talking -- we're targeting really the commoditized part and the facility management of the data centers and all the related activities, so this is very low margin, very low margin. And on the third bucket, it's a variety of such scale assets. On average, I would say, with lower margin than the group average. Now talking about partners on -- there is -- in the unified communications area, there is a consolidation ongoing for a couple of years. And there are a lot of synergies on product development, on the cloud migration, on customer bases to be achieved. So there is, I think, a very strong case for joining forces in that space. On the data center, you got to understand that the issue we have with our data center activity -- and again, I'm talking about the really commoditized, let's say, lower layers of the value chain, if you like, in this business, we're really targeting this, this part of data centers activities. The problem of this part is an underutilization of the assets. We've got very good assets. We've got very good infrastructure assets. It's not a problem. The problem is that with the very strong move to cloud and the accelerating move to cloud that we described several times, this infrastructure is being underutilized much faster than the ability to consolidate those data centers. So there is here as well a very strong case for joining forces with partners to fill, if you like, those data centers and this infrastructure. So there is a very clear case and business rationale behind all that.
Amit Harchandani: And if I could just go back to, Uwe, your response earlier to the question on Germany. Could you sort of again clarify what I asked, which is why is the cash out in total already this year and not phased out? And also what were the 1,300 individuals working on? Which kind of projects were they working on?
Uwe Stelter: Okay. So to your first part, I mean, sorry, I didn't answer it completely at the beginning. No, there is -- of course, the charges itself, our intent is to take all of them in this year as we know the size of the plan, as we know the budget for it. So we would take all of that this year and not have an impact for the future. This, of course, is also in the mechanics of the restructuring program, which includes a transfer company where people will transfer to and so on. Around the scope of those people, so the focus is really on the classic infrastructure business, as we described before, which is loss-making today, which is cash burning. So this is where the focus is, but of course, it includes as well the associated, I would say, support functions which support that business and, of course, are getting streamlined at the same time. But it's really targeted towards the area, which is the problem today in our business mix. I hope that answers the question, Amit.
Operator: Your next question comes from the line of Laurent Daure from Kepler Cheuvreux.
Laurent Daure: Yes. Three quick question on my side. The first is on -- you touched on talent. I was wondering how do you manage basically your hot areas, especially cybersecurity. Do you have issues with attrition? Because I think it's probably more exciting for expert in cyber to work or maybe a pure player or a company that does not have the burden of the legacy business. So how can you manage this 2 population of people? The second question is on the move to offshore. You plan to go from 45% to 60%. So how do you consider that with a massive drop in restructuring? And the last question is on the midsized deals. Given the recent development of the profitability and balance sheet, what you -- would be in the kind of overall you would have for midsize being a hot area?
Elie Girard: Laurent, so I will answer the first question; Uwe, the second; and I'll come back on the third. So on talent, in cybersecurity, I mean, this has always been a very fierce competition and fierce war for talent for years. I wouldn't say that, that has increased. It's been like that for several years. It's more in the other areas that post COVID, there is an increased tension. But focusing on cybersecurity because we're focusing on that, we managed to hire very well. I mean -- and we have -- as a reminder, we have the second position worldwide in cybersecurity services. We were #3 last year. We moved up to #2. I expect to become #1 worldwide in cybersecurity. These are Gartner figures and rankings, not mine. So I mean, this is a very, very strong position. And to your more precise question, Laurent, why wouldn't they want to work for -- to a player instead of a larger group as Atos? I mean, the very big interest for the people that we are recruiting, that is their words, that they have the ability of a very wide and long career path within a group like Atos, and they have an incredible portfolio of customers, which is open to them to be able to go to the customers and offer their cybersecurity skills. Where a pure player -- I mean, the pure players, by the way, in that field are, by definition, usually much smaller than our own activity of cybersecurity, as I've just said about the rankings, and the ability to reach out to customers is much, much narrower. So it's really not our problem today to hire cybersecurity talent. It's a fierce competition. It's always been, but I think we are in a very good position for that. Uwe, on the second question on offshore.
Uwe Stelter: Laurent, so in the offshore, of course, as you rightfully saw in the bridge, of course, we have the German plan, which is, of course, a big part of what -- where we offshore existing business; and we have the U.S. plan, where it's obviously a bit easier to do the transformation into the new business. Otherwise, the offshoring is really targeted at new business, at new scope to do that immediately offshore and to drive that one offshore. And secondly, Laurent, of course, we still have 1%. It's not below 1%. It's not that we have 0%, so I'm also expecting that we will still have pockets and topics where we would need some money to restructure in the future. That's why we are not going down to 0% to also enable that transformation in terms of the businesses.
Elie Girard: And on your third question, Laurent, on midsized deals, our financial policy doesn't change. Of course, 2021 is a bit of a special year in terms of KPIs. But the financial policy is that we don't want to go above 2.5x OMDA in terms of net debt. And should we get there, we want to go back quickly under 1.5x OMDA and further deleverage quickly, as we've -- I think, we've shown in the past. And we will maintain this policy. But that gives room, let's say, on a normalized year in terms of P&L KPIs, that gives room for moves in the midsized deals areas. Thank you, Laurent. Thank you very much.
Operator: Your next question comes from the line of Stacy Pollard from JPMorgan.
Stacy Pollard: Can I dig in a little bit on the 20% of revenues where you're looking at strategic options? First of all, the revenue growth in those businesses, was that the minus 20% that you referred to in Slide 19? Is that the way to interpret that? On Amit's question, just a little bit more. Did you say that all 3 buckets were positive margins? And then second question, when you say partnering, just to be clear, does that mean that you'll sell the businesses or that you could actually also buy other businesses to consolidate like in unified comms and then try to spin it off? Sorry for so many questions. Two more. What kind of valuations do you think you could receive for those businesses? Have you already found some potential partners? And then if you were to separate the 20% of revenues out, what would your underlying revenue growth and margins in the remaining business -- the remaining core business be? Sorry, that was a lot.
Elie Girard: Stacy, yes, that sounds more like a JPMorgan banker question. So on -- just maybe to complement the answer or to repeat the answer to the question of Amit, unified communications has a profitability which is broadly in line with the group's profitability. Data centers has a very low margin, and it varies depending on the countries. You know, for example, that I did before, the turnaround plan in Germany, it's a significantly negative profitability in Germany for the data centers. Now on the third bucket, which are these long series of -- long tail of subscale activities, it's very different, but on average, it is positive, but it's substandard versus the group profitability. Now on the rest of your questions, I'm not going to go into valuation, et cetera, for obvious reasons. I'm sure you understand that Stacy. Now for sure, to be very clear, we're not at all seeking to acquire anything in those areas. We want to reduce our exposure to those areas and increase our exposure to other areas. Now on the modalities of this reduction of exposure, I'm just saying that all options are on the table. But it's very, very clear that we want to reduce our exposure to those areas of business. Thank you, Stacy. Thank you very much.
Operator: Your next question comes from the line of James Goodman from Barclays.
James Goodman: Just quickly following up on the last question. Is there anything you can say around the time frame of the sort of process around the strategic reviews? When we might learn more in terms of what specific forms of disposal of partnership you're intending to go for? And then a couple of questions, please. Just on the accounting review, great to be able to leave that issue behind, no material misstatements. But going back to the announcement a few months ago, there were errors, I think, identified around IFRS 15 revenue recognition. The question is, has that led you to have to take a more prudent sort of policy around revenue recognition? Has that impacted these results or the way you're forecasting for the year? A little bit more detail around the specifics of the accounting issue would be helpful. And then just finally, could we just come back to the free cash flow bridge into next year? Could you give us as much guidance as possible in terms of how you think free cash flow should look next year? One thing in terms of the merchant cash -- the cash advance, the EUR 200 million issue that's been identified, is that an ongoing effect? Or is that coming out entirely this year and have no effect next year?
Elie Girard: Thank you for your questions. So let's go one by one. So on the time frame of the portfolio review, I mean, I will not be specific. We're talking basically M&A processes, and that can only be detrimental to the company and the execution to start giving time frames. You know that. But just to give a little bit of color, if it can help, the assets we're talking about have a very different nature within the organization, very different positions within the organization. Unified communications business is a business which stems out from the acquisition of Unify 5 years ago and has always been run separately. So it's already carved out from the rest of the organization mostly, I would say. The data center hosting and related activities is much more entangled in the rest of the organization. So that needs, of course, some very operational work of carve-out, et cetera. And the third piece of the portfolio review is usually very well identified in the organization, but again, it's a long tail of small assets. On the second question on the accounting, again, I mean, this is behind us. As I explained, I'm not saying it's behind us and I'm drawing no lessons from that. We have drawn lessons from this. I can tell you. I mean, it's really an experience I wish to nobody and that we do not want to experience again anywhere. So that's why I explained in my presentation the very long list of internal measures that we have implemented, and we will, on an ongoing basis, continue to implement to drive prudence, caution, awareness throughout the organization from the top to the bottom. And now on the last question on the free cash flow of next year of -- we will give a sense on that and the guidance, et cetera, in due time. So I don't want to enter into the -- starting to give numbers for next year. It will come in due time. I think there is quite a lot of information today to work on. The rest will come later.  Thank you very much.
Operator: Your next question comes from the line of Adam Wood from Morgan Stanley.
Adam Wood: Just a point of clarification, first of all. When you talk about the assets that are in that group to be disposed of versus group margins, is that the 6% group margin that you're expecting for this year or around the group margin from last year? Secondly, could you maybe just talk -- you had a slide around culture in the group. And I guess, the group has been very focused on large-scale M&A, a lot of restructuring around those deals in the past, which I mean -- which, I guess, inevitably means a large focus on cost control in the group rather than top line. Could you just talk a little bit more about what you're doing to try to change that culture? And is enough, if you feel that's one of the issues? And could you talk a little bit about the investment that you feel is needed to drive the offers that can help that culture change?
Elie Girard: Adam, so on your first question, the reference was the profitability of the group of this year, okay, to be very precise. And on your second question on -- which is a very good question, obviously, on changing the culture of the company, our people, management, intermediate management, our people on driving the top line, driving growth, which indeed has never been really in the culture of this company. And that's why I said back in April that it's not just about changing processes and doing the org charts changes and financial mechanics that we will deeply change and accompany this transformation. That's why I launched this cultural change program, which absolutely include this. You're asking how much it cost. It's a good thing with this that I think it can have very important impact, a structural impact. It takes time in terms of changing the culture. It takes time, but it does not come with cost, okay? Except if you consider -- if you include as a driver of this cultural change, which is through the acquisitions. I can tell you that in any entity, even a large entity which welcome a very high growth assets like the ones we're acquiring, even small ones, those entities are really changing their minds when they get in contact with those totally different culture, new colleagues. So that's a very strong driver. I would not include the cost of those acquisitions in a, let's say, a cultural change bucket of cost. But apart from that, it doesn't come with cost. Thank you, Adam.
Operator: Your next question comes from the line of Gerard Ians [ph] from UBS.
Michael Briest: It's Michael Briest here. Just in terms of the partnership plans, again, sorry to come back on this, but I'm thinking about the data center asset, and presumably, you'll be working with someone who's more traditionally a competitor that you'd be sharing infrastructure. They may be needing resources in one part of the world and you in another part. How realistic is that? Or do you -- maybe there's other partners that might emerge, and presumably then you would fully consolidate this revenue because it's not going to be disposed of. And on the unified business, you tried to sell that before. And I thought they've been a relationship with RingCentral and NICE for the last couple of years. So what do you see over and above that, that would change things? And can I just ask as part of the strategic review? A couple of years ago, there was talk about a minority IPO of the big data security business, whether that came up and yet again, the topics of buybacks. And then Uwe, just one for you. Can you explain what happened in Southern Europe? Because the business accelerated in the second quarter quite meaningfully and yet the margins declined a lot. It's just very hard to understand why growth would lead to lower margins.
Elie Girard: Michael, thanks for your many good questions. On data centers, you can -- I mean, again, I don't -- I can't be more explicit, but you can have a collection of partners including the, let's say, the nonclassical ones. The ones you may think about. I'm sure you're thinking of some of our competitors. It's not necessarily the partners we may have in mind, okay? You can think of other types of partners more involved in infra automation, for example. Well, I will not go further, but there is a variety of potential partners. On unified communications, you mentioned RingCentral and you think how can you go further. The -- we have a very strong partnership with RingCentral since the very beginning of last year or, I think, very end of 2019. We have a strong partnership with NICE inContact, even from before. These are working well or very well. But again, it's emerging revenue flow which is growing very fast, but it's a small piece still. And on the other side, you've got a very large revenue flow, which is significantly decreasing than the traditional unified communication, where you've got different ways of implementing synergies. You've got some players who can really drive the move to the cloud faster because they wouldn't have a large classic installed base and you could, for example, consider that they just leave out or stop maintaining the classic infrastructure. You have the players who can consolidate the customer bases. We have 44 million seats, 44 million seats, so it's a very large customer base with a lot of value for any partner who would like to consolidate, in particular, everything related to R&D, maintenance, product development, which are always required even on the more legacy part because you need updates and new features all the time. You have to even if it's not cloudified. So this is line of cost which is significant that you can't just remove like that. And any other partner in this area would have the same line of cost and would manage to do massive synergies joining forces. On the cybersecurity IPO, I mean, this is an old idea that has been off the table for a while now, and it did not come back on the table for the reasons I've already explained that cybersecurity is at the heart of the group. It irrigates most of our customers or a large part of our customers throughout the group. As I explained in an answer to, I think, Laurent's question earlier on our talents, the value in this activity is to be embedded fully into such a large group as Atos. And I often remind you that in the specific case of BDS or our Big Data & Cybersecurity practice, it's a very special situation because we have seen -- we have an experience of what a stand-alone BDS is because it was basically more or less built before we acquired it. It was a flat top line. It was, I think, 3% or 4% margin, and it's become -- entering into Atos Group, it's become a fantastic success of 15% growth and close to 15% margin, et cetera. So I mean, I think that tells you -- if you look backwards, that tells you the amount of synergies that are being generated being in the group.  And finally, on your question of buybacks before handing over to the last question to Uwe. On the buybacks, this is a question which is examined by the Board of Directors regularly. And including our Board of Directors yesterday, to be very transparent with you, conclusion was not to move forward with it in the current situation of the group where we need -- that was an answer to another question, we absolutely need to transform the group, and we need to move on in parallel to the portfolio review. We need to move on with the acquisitions, including midsized acquisitions, to achieve this group transformation. So we don't think it's the right time and a good use of money to buy back shares now. Uwe?
Uwe Stelter: Michael, yes, to your last question around Southern Europe. So indeed, you have a decline of margins while the revenue is growing. So there are 2 effects responsible for that. The first one, which is 2/3 of that explanation is that we had some onetime benefits last year in H1 on settlements with customers but also with suppliers which helped the margin. And the second part is the temporary component cost increase which we see, especially on the Big Data & Cybersecurity, which is also affecting Southern Europe as some of the implementation of projects, of course, in Southern Europe, as I explained before. So that's a temporary increase of component costs which we were seeing in this year.
Michael Briest: But just to come back on the partnerships, do you envisage that you will consolidate these businesses going forward? Or that it's likely you'll deconsolidate the [indiscernible] how the partnerships are structured or disposed -- disposal?
Elie Girard: Yes. I mean, it's not our intent to continue to consolidate those businesses.
Operator: Your next question comes from the line of Neil Steer from Redburn.
Neil Steer: Most of my questions have been asked, so I just have a couple of follow-ups. The first is on the sort of the partnering exercise. Overall, do you expect that to be a cash-generative exercise for you? Or do you think you'll have to -- given the quality of some of those assets, particularly the data centers, do you think there'll be a cash cost of that partnering exercise? That's the first question. The second one is, obviously, it's an Olympic year. I can't remember how significant the Olympics IT contract is for you now. Presumably, there will have been some benefit that you will have seen. I just wondered if you can quantify that and put that into perspective. And then coming back to one of the earlier questions. I'm not fully understand how, given -- I believe is you're going to get from sort of mid-40% offshore to above 60%. Are you intending to -- part of those sort of the purchases or the acquisitions. Is part of the M&A activity going to be in offshore locations?
Elie Girard: Neil, thank you for your questions. On -- yes, on the -- I won't go further. I mean, you were asking me questions on the deals themselves and the very M&A parameters. Again, you understand -- I know you understand that answering your question would be detrimental to the execution of the deals. On your second question on the Olympic Games, you got to know that the revenue is quite smoothed out. It's not that we are suddenly working when there is an Olympic Games during 4 weeks. No. I mean, the work is spread across 5 years for each game. But as you're giving me the opportunity about -- talking about the games, just to tell you that our colleague, Matthieu Androdias, has just won gold medal in double sculls this morning, so congratulations to him. So you see Atos is back on all fronts. And on the third question on offshore through acquisitions, we are looking for skills, okay? So I wouldn't say that as part of the parameters of the acquisitions we put as a kind of threshold, for example, or criterion on offshore. Now this being said, it happens quite often that those acquisitions coming from skills have a large part of great skills offshore and give you, for example, a great example of Paladion that we acquired last year in cybersecurity, in MDR to be more precise. This acquisition came with 830 colleagues who are almost all sitting in India, a great integration by the way, great development. Thank you, Neil. Thank you very much. Have a last question, I think.
Operator: Your next question comes from the line of Frederic Boulan from Bank of America.
Frederic Boulan: If I can follow up on the strategic review. I think in the past, you were quite prudent on your ability to sell data center. So if you can discuss how integrated these businesses with the rest of the group and whether you can actually sell out of those assets or mainframe without upsetting clients on the digital side. And if you can give us some color on some of the contractual commitment you have with clients on that side, especially from a duration standpoint. And maybe whether an ability to carve out some physical assets there while keeping or floating the service side.
Elie Girard: Thank you for the questions. So indeed, as I said, the data center hosting and related activities is quite entangled with the rest of the business, but separating is absolutely possible. And again, we're talking about the very lower levels or lower layers and very commoditized layers of this part of the activities of the group. And having the data centers carved out from the rest is possible. It's a piece of work to be very, very clear but is absolutely possible, while improving even further by really separating in layers the work, improving even further the service to our customers and optimizing the investment. It's really about that as well, okay? That's very important to understand. So there is work behind that to be done, including contractual work. But this is absolutely possible. All right. Thank you very much to all of you for your attendance and your questions. We remain at your full disposal, Gilles, of course, Uwe and myself. And if anyone of you take vacations, wish you a great summer. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may all disconnect.